Operator: Hello, and welcome to Just Eat Takeaway.com full year results 2023. My name is Alicia, and I will be your coordinator for today's event. Please note, this call is being recorded. [Operator Instructions] I will now hand you over to Jitse Groen to begin today's conference. Thank you.
Jitse Groen: Thank you, operator. Good morning, everybody, and welcome to this analyst and investor conference call to discuss the full year 2023 results for Just Eat Takeaway.com. On our corporate website, you can download the press release and the slides for this analyst and investor conference call. First, I would like to take a step back to share our vision and our strategic pillars. In the slides following that, I will take you through the highlights of our performance in 2023 and present the new guidance for 2024. Jorg Gerbig, our COO; and Andrew Kenny, our Chief Commercial Officer, have prepared a couple of slides regarding the significant progress we have made across the strategic pillars including our efforts to further enhance our consumer proposition by investing in nonfood adjacencies and the operational improvements in efficiency within our global delivery operations. Then Wissink, our CFO, will then provide the financial results at the group level and share further details regarding our cash position and free cash flow generation. I will end the presentation with some concluding remarks, after which we will open the call for your questions. Regarding the question-and-answer session. As a reminder, we will allow one question from each of the analyst. On Slide 4. Before we dive into the details, I would like to set the tone for today's presentation. Our key messages are, that the group excluding North America returned to GTV growth in 2023, that our full year adjusted EBITDA in 2023 was ahead of guidance at EUR 324 million, and it's growing quickly. We have strong momentum in the U.K. and Ireland with the adjusted EBITDA margin rapidly approaching a similarly high level as Northern Europe that we reached a significant milestone of positive free cash flow in the second half of 2023. That to date, we have repurchased 7.3% of our issued shares, and lastly, that we issue new guidance for 2024. Please follow me to Slide 6. Before we look at our performance in 2023, I'd like to take a step back and remind you of our business profile, which has transformed significantly in the past couple of years. In part driven by organic growth driven by our investments and through M&A as well. Our Northern Europe and U.K. and Ireland segments, representing more than 60% of total orders returned to GTV growth in 2023 and are highly profitable. In these segments, we have strong positions of scale with further upside from both higher frequency and increased penetration. Our Southern Europe and ANZ segment is relatively small, representing 10% of orders where we make targeted investments in several relatively early stage markets to increase penetration and reach the scale that is required to offset the fixed cost of our business. These segments account for 70%, 7-0, of our orders. North America represents the remaining 30% of orders. And in this segment, we saw our top line performance stabilizing in 2023 but not returning to GTV growth yet. Our key focus for this segment was, and remains to be to improve the cash flow generation. And as we will show in the next slide as well, Grubhub continues to make strong progress towards free cash flow breakeven. Now moving to the next slide. Our company has evolved significantly over the past 25 years as we have grown from a small online marketplace in the Netherlands to a global leader in on-demand delivery. At the heart though, our core mission has remained persistent. We make our customers' lives easier. We provide a much more convenient way of getting what they need. We have, however, only started to scratch the service of the potential opportunity in our market. We started out as a food delivery platform, making it easier to get your weekly Friday night takeaway. We have already, of course, moved well beyond that, serving more and more occasions throughout the day and week, and there is a huge potential from new categories beyond food to deliver an even better experience and more convenience to our customers. Our vision, therefore, is to empower everyday convenience. That means we empower customers to get what they need, when they want it, delivered straight to their door in the [indiscernible]. And in doing so, we also empower our partners to grow their business with new consumers and new channels, and we empower our careers to build their careers in a safe, flexible and inclusive environment. What all this means for the customer is that we will be able to fulfill a lot more occasions. A midweek launch at the office to a Saturday nights family takeaway, their weekly grocery delivery to [indiscernible] flowers for Mother's Day, a bottle of wine on a Friday, and of course, the aspirin on a Saturday. We are excited by the scale of the opportunity that lies ahead of us. In terms on Slide 8 of how we deliver on that vision. There are three core pillars to our strategy. Jorg and Andrew will share more detailed information on the progress that we have made across our key strategic pillars in 2023. But to summarize, the first pillar is providing the best choice in [indiscernible]. We've added many partners, including [the grocery] and invested both in brand and value, and Andrew will talk about that later. Second is providing a great experience whilst announcing efficiency. We are, of course, a merged business, still have many synergies as a result of that -- of all those mergers. And we have made and continued to make progress in reducing our CPO, both in delivery and elsewhere in the company, and Jorg will talk about that later as well. The third pillar is around acting responsibly for our people and the planet. Flipping to Slide 9. As already explained in our fourth quarter trading update, while the year-over-year comparison continues to be impacted, we are excited that, in fact, the fourth quarter was the best quarter of the year for GTV. both in absolute as well as in relative terms. This strength is also presented in the graph on the right-hand side of the page. When we exclude the North America segment from the group's results, it becomes clear that 70% of our group orders are back to GTV growth from the third quarter outlook. Please follow me to Slide 10, where you can see that the year-on-year GTV trajectory improved throughout 2023. In fact, the Northern Europe and U.K. and Ireland segments representing more than 60% of group orders exited 2023 at the highest ever quarterly GTV level, even including the pandemic period. This all-time high GTV emphasizes the strength of our European businesses. While the year-on-year growth in North America and Southern Europe and ANZ continue to be negative for both segments, we do see stabilizing GTV of this of the two reporting segments when looking at the quarter-by-quarter development in 2023. Moving to Slide 11. On the left-hand side, you can see that the adjusted EBITDA for the group was EUR 324 million in 2023, which is a EUR 305 million improvement compared to 2022. On the right-hand side, the adjusted EBITDA for a segment is provided, which clearly indicates that all segments materially contributed to our adjusted EBITDA improvements. A couple of things I would like to highlight are: that Northern Europe continued to demonstrate strong profit generation with an adjusted EBITDA of EUR 366 million in 2023. The adjusted EBITDA margin in North Europe remains one of the industry's strongest and further improved to 4.8% of GTV in 2023, up from 4.2% in 2022. And in fact, we believe it can increase further over the next couple of years. Secondly, in the U.K. and Ireland, adjusted EBITDA improved significantly to EUR 135 million in 2023 from EUR 23 million in 2022, mainly due to enhanced delivery efficiency and simplification of our delivery operation. Jorg will talk about how we did this later, and he will also share how we will improve the U.K. CPL further. With the adjusted EBITDA margin increasing to 2% of GTV in 2023, up from 0.4% of GTV in 2022, U.K. and Ireland are rapidly approaching a similarly high adjusted EBITDA margin as Northern Europe. In the Southern Europe and ANZ segment, operational improvements in logistics and more efficient customer services resulted in improved adjusted EBITDA of minus EUR 97 million in 2023 from minus EUR 161 million in 2022. North America significantly increased its adjusted EBITDA to EUR 126 million in '23 from EUR 65 million in 2022. And to round off this slide, we were adjusted EBITDA positive in 3 out of the 4 operating segments in 2023, representing 90%, 9-0%, of our group orders. And if you now follow me to the next slide, Andrew will provide more details on free cash flow generation in his section. But given the importance of this milestone, I want to quickly run you through the significant progress that we have made in our free cash flow generation. As a result of this increased adjusted EBITDA, the group reached a significant milestone of being free cash flow positive in the second half of 2023, generating EUR 4 million of positive free cash flow. Now on Slide 13. Grubhub with a free cash flow of minus EUR 20 million, continues to make strong progress towards free cash flow breakeven. Under new management and in parallel to actively exploring a partial or full sale of Grubhub, we are improving Grubhub's cost base and competitiveness. We realized $30 million plus run rate savings from 2024 onwards through restructuring, and we have extended our Amazon Prime partnership and improved Grubhub Plus making it more competitive. And lastly, we see good momentum in new verticals with a strong pipeline of new partners in addition to some recently announced partnerships. Moving to Slide 14, where we show that we have met or exceeded our guidance for 2023. Our constant currency GTV growth was in line with our guidance of approximately minus 4% year-on-year in 2023. We remain focused on profitability, and our adjusted EBITDA was ahead of guidance at EUR 324 million in 2023. And we have passed a significant milestone of positive free cash flow in the second half of 2023, which was, of course, ahead of plan. Moving to the next slide, where we summarize our new guidance for 2024. We expect constant currency GTV growth, excluding North America to be in the range of 2% to 6% year-on-year. We remain focused on profitability and expect to deliver an adjusted EBITDA of approximately EUR 450 million. We expect free cash flow before changes in working capital to continue to be positive in 2024, and thereafter, and we reconfirm our long-term target of group adjusted EBITDA margin in excess of 5% of GTV. And with that, I hand over to Jorg -- Andrew, sorry.
Andrew Kenny: Thank you, and good morning, everyone. Over the next few slides, I will talk you through the strong progress we've made in our Choice and Value strategic pillar. This pillar is all about our relentless focus on business, ensuring we are offering our customers the widest range of choice on our platform. Which, of course, means strengthening our core restaurant proposition, but now more and more through scaling into grocery and other new retail verticals. We are also working harder leveraging our brand and technology to enhance our loyalty and value features to our customers. And I will finish by touching briefly on our advertising business as well as the investment in our brand. Firstly, on Slide 17. It's worth emphasizing the increasing number and range of partners on our platform. We are firm in our mission to offer consumers unrivaled choice and value, and that's reflected in the progress here. Across our overall ex North American business we've increased the number of online partners by 6% year-over-year. This has been despite a more challenging economic backdrop for restaurants as input costs around food, utilities and staffing as all [indiscernible] which for considerable numbers of restaurant operators across markets to close their business. Our progress on offer expansion has been seen across national chains, some of which previously had long-term exclusivities in place. But also critically local hero small chains and independents that are recognizable to and loved by customers in their neighborhoods. In our business, getting the selection right must always be assessed with a hyper local lens. Moving to convenience grocery. This vertical is clearly our most immediate and significant opportunities outside of core restaurants. And our progress, albeit from a low base, continued to accelerate, showing very strong signs of growth, particularly in segments such as the U.K. and Ireland, which I'll come on to shortly, but also in North America. Overall, we more than doubled the number of grocery and retail partners on our platform last year and scaled up more teams and expertise focused in this area. Large scale adoption by major grocers of instant delivery remains more nascent in some of the core European markets. However, there have been some notable breakthroughs in particular with our ongoing expansion with major players such as [indiscernible] in Spain and Carrefour across some of our European markets, and we expect other countries to follow this year. Beyond our commercial progress, we've also made strong advances in product and technology that is powering a much improved customer interface, search and navigation tooling. Equally, our partner-facing tech has also progressed, and we have a lot of resource dedicated to numerous innovations in grocery and retail to continue to enhance the experience through 2024. Finally, to touch briefly on our retail offering. This area is in its very early days with various tests and rollouts happening across markets. We're excited that consumers in various markets can now use our platform to shop for products such as flowers, electronics and pharmaceutical goods. Fulfilling these everyday needs will help us unlock new ordering occasions, driving frequency from existing customers but also reaching new ones. And you will hear more -- us talk more about this over the coming quarters. Moving to Slide 18. As Jitse alluded to, we are particularly pleased about the strong financial and commercial progress delivered in our U.K. and Irish business in 2023, as well as the momentum we feel we have in this segment. We have a very large leading position in what is currently the largest food delivery market in Europe. And strategically, we have been very clear and deliberate about what we needed to do in 2023. GTV growth accelerated in each quarter from Q2 last year, and orders also grew in absolute terms sequentially every quarter of the year. Profitability step changed last year with adjusted EBITDA 6x higher versus 2022, driven by significant improvements in our logistics capabilities and the simplification of our model, which Jorg will talk more about shortly. Importantly, this improvement in margin came alongside is continuing to invest in both marketing and price at significant levels, and we are confident that this dynamic will continue. Most importantly, the consumer proposition continues to get meaningfully stronger with 17% more choice on our platform year-over-year and the total number of partners now up above 85,000. The team have also executed extremely well in accelerating our growth [indiscernible] proposition with now over 8,000 partners, up from 5,000 and the halfway point last year. The priority, as you'll remember, over the past 12 to 18 months was really to get a scaled offering and this comprehensive national offer allows us to advertise and push the vertical more aggressively to our millions of customers throughout the U.K. And as you can see in the chart on the right-hand side, this is translating now into category adoption with grocery now representing mid-single-digit percentage of GTV in the U.K. and continuing to build, working with the majority of major grocers. Importantly, grocery and convenience not only present a substantial opportunity for future order growth, but there are clear signs that this is -- that this vertical is highly complementary to our core offering and it enhances the ecosystem overall. So overall, the journey continues at full speed through 2024, but we are certainly pleased with the progress made both in the U.K. and across this category. Moving to Slide 19. I talked a little bit at H1 last year around the growth in our high-margin advertising platform, and I'm pleased with the momentum continued through the year. 2023 revenue was over EUR 200 million, an increase of 28% over the previous year and that represents just over 1% of GTV. And these numbers actually exclude Grubhub whose pricing model is different, but still generates substantial ad revenue. The increases seen were primarily driven by higher penetration of our ad products with our partners across both our long tail independent restaurant base as well as our key strategic partners. The primary revenue source here is products that give greater visibility to our restaurant, grocery and retail partners to enhance their visibility on our platform. This, of course, generates incremental sales for partners with a proven high return on their spend. We also made progress in 2023 towards beginning to diversify and develop new ad products as well as expanding the expertise that sits within our business in this area. These products examples that you can see on the right-hand side of the slide are in early stage of either testing or development in different markets. But at the beginnings of being able to capitalize on our app real estate to work with a variety of partners and advertisers showcasing their products at the right moment to the right consumers. Overall, the foundations laid in 2023 will allow us to further accelerate our advertising advances over the next few years and capture some of the significant growth potential that we see in this space. Finally, in this section, as you would expect, we continue to place considerable emphasis on investing and driving brand awareness. This is fundamental to the long-term success of our business. Top of mind brand awareness is a metric we track closely across all our markets and is typically a good proxy for the long-term brand preference and commercial health in the market. As you can see from the chart, in many of our core European markets like the U.K., Germany and the Netherlands, our top of mind brand awareness far [indiscernible] paces our nearest competitor. This is driven by our continued investment in high-quality creative production outputs, which hopefully, you've seen and smart media buys, which allowed our brand to drive organic reach as well as paid media investment. Our UA partnership is a key mechanism to drive brand awareness. As you may have seen, we recently announced that we will continue to sponsor the UA for Champions League, Europa League and Europa Conference League as well as various other UA competitions for the next 3 years. The partnership continues to be one of the most comprehensive in UA's history. Recognizing that football and food are very natural fit. We've been very pleased with the impact that sponsorship has made with significant media value generated including over EUR 2 billion impressions across digital platforms. Now I will now hand over to Jorg, who will take -- who will talk us through the experience and efficiency pillar.
Jorg Gerbig: Thanks, Andrew. I'll now spend some time walking through key developments in our experience and efficiency strategic pillar, including important progress for our logistics model and concluding with customer services. Operational efficiencies were the biggest contributor to the improvement in EBITDA in 2023. Please follow me to Slide 21. To begin, I will give a brief overview of our logistics models, how we operate these across our markets and what influences our strategy here. We operate two delivery models across our markets, independent contractors and our employed model. As you can see on the map, we operate with independent contractors in our English-speaking markets and with the employed model in the majority of markets in Continental Europe. Our choice of delivery model is dependent on the legislative landscape, and hence, we remain committed to our employed model in most of our Continental European markets. We are committed to upholding the legislative requirements in each of our markets, but seek to operate profitably on a level playing field with our competitors. For example, in the U.K., we've started transitioning to a single model in 2023. And by the end of 2024, we will have moved away from all third-party engagements. We have made significant progress in improving our unit economics globally. On Slide 22, I will spend some time illustrating how the changes have enabled us to make significant strides in the unit economics of our largest market in the U.K. As you can see on the left-hand side, our delivery cost per order in the U.K. has decreased by 12% year-over-year, representing significant savings on aggregates and contributing to the market's profitability trajectory. Pooling and model simplifications are the key drivers of this unit economics improvement. As we move into 2024, we are looking forward to further improvements in these areas that will help us continue to drive down our cost per order. We are working at pace to fully roll out our in-house independent contractor model across the U.K. in 2024. This will unlock efficiencies and benefits of network density. We are yet to see the full impact of many of our initiatives, but are also planning to deploy various new initiatives such as improving courier performance through order flow and algorithm enhancements, which gives us comfort that our delivery unit economics can be further optimized this year and beyond. Turning now to logistics expansion on Page 23. We see this as another critical opportunity to grow and improve our business. Just to set the scene, in most of our markets, we cover more than 95% of the population with our marketplace restaurants or restaurants that deliver themselves in independent contractor markets like the U.K. we are already offering a large population coverage with our logistics offering in addition to the marketplace offering, and therefore, increasing the choice for our consumers. In Northern Europe, where we operate our employment model, there's still ample room to grow our logistics population coverage. In 2023, we added approximately 40% to our logistics coverage in Northern Europe alone, by expanding within existing cities and into new ones. Across the year, order volume from new areas drove material incremental order volume. We expect that number to substantially increase this year. We've also looked to maximize the choice and return on our existing coverage by extending opening hours in many cities. Both our breakfast and late hour offerings have been well received in many of our Tier 1 cities. Tech Munich, for example, we have more than tripled the share of order volume that our extended breakfast offering contributes throughout 2023. We see this volume as incremental to our lunch and dinner returns, highlighting how powerful these flywheel effects can be. Looking ahead to 2024, we plan to continue to capitalize on this opportunity for expansion, driving future partner growth and, in turn, new customer growth and reorder rates. I'll finish off this section by talking about customer services on Slide 24. Improved processes and automation on this front have led to reduced customer service FTE and lower staff costs and OpEx per order. On the right, you can see the savings we made in these costs since the beginning of 2022. A 36% reduction which continued progress each half year. Meanwhile, our customers serve FTE per million orders have decreased by 38% since the beginning of 2022. This is a result of increased automation, streamlining processes, but also much more efficient setup of our customer service agents around the world. These savings and efficiency improvements do not only benefit our profitability but also improve customer and restaurant experience. We are committed to delivering an absolutely seamless and instant experience to our stakeholders and anticipate further improvements in these areas, both from a cost and experience perspective in 2024 and beyond. The exciting thing here is that there is so much more potential for us to improve our service experience even more whilst further bringing down our cost base, the deployment of artificial intelligence, for example, will further drive incremental efficiencies in 2024 and beyond. And with that, I'll now hand over to Brent for the CFO section.
Brent Wissink: Thank you, Jorg, and good morning, everyone. In my last annual earnings call as CFO, I'm pleased to report that we have made substantial improvements across our business. With improved technology, operations, business execution and cost management, we could deliver a year-on-year increase in adjusted EBITDA of more than EUR 300 million as well as becoming free cash flow positive in the second half of '23. Although group GTV was down 4% year-on-year at constant currency, we returned to 3% GTV growth at constant currency for both Northern Europe and U.K. and Ireland segments in '23. Please move to the next slide. Revenue less fulfillment cost is a key metric for our business by continuing to improve our unit economics, we can ensure we remain the cash-generating business in the coming years. Our ongoing focus on both revenue and both levers meant we are able to improve unit economics in both delivery and marketplace models. The improved unit economics offset lower volumes, meaning revenue less impairment costs decreased compared to last year, while processing less order. The biggest driver for the improvement was the increased performance of our delivery operations with the most notable game achieved in U.K. as a result of simplification of the delivery model. On the next slide, we see the contribution of each segment to the adjusted EBITDA. We are very pleased that each segment as well as the head office demonstrated step-up in profitability, leading to a significant improvement in group adjusted EBITDA. As a result, group adjusted EBITDA as a percentage of GTV has also increased by 1.1 percentage points compared to last year and reached 1.2% of GTV. North America almost doubled its adjusted EBITDA compared to 2023 to EUR 126 million, reaching a 1.3% margin. This was driven by restructuring which reduced [overhead] spend and being able to leverage our strong acquisition pipeline from Grubhub Plus partnership to reduce partnership spend and marketing spend. In '23, the Northern Europe segment reached 3% GTV growth compared with the last year and adjusted EBITDA came out at EUR 366 million, which was a 70% increase compared to the year before. The adjusted EBITDA margin in '23 further improved by 0.6 points to 4.8% compared with last year and remains one of the highest marketing industry. The profitability improvement was mainly driven by optimized partner pricing, increased advertising revenue and targeted cost reduction programs. The U.K. and Ireland segment had a very strong year with GTV returning to growth -- returning to growth and adjusted EBITDA increased significantly from EUR 23 million in '22 to EUR 135 million in '23 with the adjusted EBITDA margin reaching 2% of GTV. This was primarily driven by enhance delivery efficiency and simplification of our delivery operations. The adjusted EBITDA margin in the U.K. and Ireland is rapidly approaching a similar high level as Northern Europe. Southern Europe and ANZ reduced its losses further from minus EUR 160 million in '22 to minus EUR 97 million in '23. This improvement was mainly driven by actions taken to streamline operations and improvement in marketing efficiency. And lastly, we have a strong focus on cost control in our headquarters that results in continuous optimization. However, this is partly offset by inflation related adjustments. Moving to the next slide where we bridge between adjusted EBITDA and net loss for the period on an IFRS basis. While loss for the period in 2022 was EUR 1.8 billion, it was fully caused by the impairments of historical equity-funded acquisitions and the amortization of acquired intangibles. Excluding these aforementioned impairment, amortization, profit for the period was EUR 145 million in '23, which is a significant improvement compared with a loss of EUR 652 million in '22. On the next slide, we bridge adjusted EBITDA to free cash flow in the first half and in second half '23. As a result of the increased adjusted EBITDA, the growth rate is significantly -- significant milestone for being free cash flow positive in the second half of '23, reaching positive free cash flow is a key achievement. However, we will continue our product and expect to add more adjusted EBITDA and free cash flow in 2024. On the next slide, we bridge 2023 adjusted EBITDA to free cash flow for the full year in '23, we significantly improved a cash generation, mainly driven by our enhanced profitability. For the full year, free cash flow before change in working capital was minus EUR 73 million. If we exclude exceptional items and working capital movements, which do not reflect underlying cash generation, our core activities delivered positive free cash flows. The nonrecurring items of EUR 80 million are related to the cash flows from settlement over tax matter and other exceptional items, such as the restructuring in ramp-up and the simplification of our U.K. delivery operations. The tax settlement was EUR 36 million and relates to a tax dispute between the Danish and U.K. tax authorities, which goes back to 2012 and has now finally been resolved. We expect to increase positive free cash flows in '24 and thereafter, which is further explained in the next slide. We remain disciplined in managing spend or maximizing income on item, which is below adjusted EBITDA. Given the fact that we expect our spend below adjusted EBITDA to remain more or less stable, we anticipate that the conversion of adjusted EBITDA to free cash flows will improve as we become more profitable. On the next slide, we bridge the 2022 cash balance to the first half cash balance at the end of the year. We see that in the second half 2023, our positive free cash flows, positive working capital and M&A proceeds meant that we were able to broadly maintain our cash balance despite our share buyback programs of more than EUR 120 million during that period. Please follow me to the next slide, where we show our liquidity and debt maturity profile. We have a strong liquidity position and together with free cash flows we will generate in the future, we have a very manageable debt maturity profile. These strengths allow us to make optimal long-term decisions, both operationally and with our capital structure such as the share buyback front, we have been operating since April last year. In terms of our capital structure, we continue to consider our capital allocation options, including share buybacks. We will take action to capture value should compelling opportunity arise after considering all factors. Relevant factors include the return from our current cash holdings versus the very low coupon of the shortest day bonds and managing the maturity profile to maintain strong liquidity. This is also considered against a strong return we expect from buying back shares at current prices. My last slide covers the details on the ongoing share buyback programs. As announced in October '23, we initiated the second share buyback program of EUR 150 million. The repurchased shares will be used to cover the company's obligations and the share-based compensation arrangements or [indiscernible] canceled to reduce issuing share capital to improve future earnings per share. We were able to take this action as a result of our strong balance sheet and the increased visibility on free cash flow generation. Until today, we have deployed approximately EUR 220 million of buyback, 7.3 percentage of issued shares. Finally, this is the last time I present the annual results for you. Joining Takeaway in 2011, it has been a privilege to witness the company transforming from a small company into one of the most leading food delivery marketplaces. I'm proud of our journey and grateful for the opportunity to contribute to that success. I'm confident this company will continue to thrive with the proposed new member of the management board, CFO, Mayte Oosterveld. And with this, I hand back to Jitse for the conclusion of this presentation.
Jitse Groen: Thank you, Brent, and that's a good enforcement of myself, I would say. I will continue with the wrap-up of this presentation on Slide 37. The group, excluding North America returned to GTV growth in 2023. Our full year adjusted EBITDA in 2023 was ahead of guidance at EUR 324 million and growing quickly. We have strong momentum in the U.K. and Ireland with the adjusted EBITDA margin rapidly approaching a similarly high level in Northern Europe. We reached a significant milestone of positive free cash flow in the second half 2023. To date, we have repurchased 7.3% of our issued shares. And lastly, we issued new guidance for 2024. So to conclude, the business is in a strong position to capture further improvement to our top line performance, adjusted EBITDA and free cash flow in 2024. And with that, operator, I would like to open the call for questions.
Operator: [Operator Instructions] We'll take now the first question from Silvia Cuneo from Deutsche Bank.
Silvia Cuneo: I ask my question about the guidance. Can you please discuss the building block of your GTV guidance for 2024 through the low to high end of the lanes? In particular, what do you expect in terms of ordering trends? Maybe do you see demand returning and normalizing inflation of food prices? So any color you could say also by segment will be very helpful.
Jitse Groen: I think it's safe to say that we have pretty good visibility on the behavior of our stronger segments, of course, U.K. and Northern Europe. The cohorts are very strong. Order frequency is very strong. New user additions are strong. The active user base is strong. On top of it, we're investing a lot in these segments. We're expanding the delivery network in place in which we are very strong, right? We have usually 99% national coverage in, for instance, Continental Europe, we might not have delivery coverage everywhere, but we do know that we have flourishing businesses in the smaller towns. So adding a delivery network is very predictable for us. We'll take a bit of time before people start ordering with these new restaurants that become available because clearly, a restaurant would have a user base on our network, but we know what will happen as a result of those investments. And similarly, for instance, in the U.K., our grocery offering is growing very rapidly, so we can extrapolate what that growth will do. Now, obviously, this is still a small segment of our orders in the U.K. will become a larger segment, and therefore, we'll start to contribute to the growth of the business as well. So in these segments, the way our business grows is very similar to the way the business grew before the pandemics. So it's basically your existing user base and the order frequency going up and it is adding any new users. So this is what gives us confidence on the GTV growth number for these segments. Nothing in particular any building blocks, it's just color behavior.
Operator: We'll take the next question from Joe Barnet-Lamb from UBS.
Joseph Barnet-Lamb: Just another one on the GMV guidance for FY '24. You've obviously excluded North America, but left Sains in there. Can you help us understand how you're thinking about Sains growth into 2024? Is it fair to assume it'll remain in negative territory? And I guess related, how are you viewing the Sains division within the portfolio at present?
Jitse Groen: Good questions. Well, we don't obviously guide for segments. What we can say about the other segments? So outside of that 60% of our business that is highly profitable and growing. What we can say about it is that we do anticipate these segments, including North America to improve. At the same time, and especially around North America, our focus is around cash flow generations and all around GTV. So that's why that's not included in GTV target. We do believe that given a large chunk of sales is actually in Europe that it makes sense to guide, including Sains, I think that is just a better way to guide. If you look at, how we feel about these businesses? No, these businesses are less mature than for Northern Europe or the U.K. and Ireland. So we're open to talk about consolidation of these businesses. At the same time, these are strong businesses, they're just not as mature as the Northern European segment. And I can go into the detail about any of these countries, but there's quite a lot of divergence between these countries and the local situation. But we're quite confident that we can improve these businesses as well.
Operator: We'll take now our next question from Miriam Josiah from Morgan Stanley. We will take then the next question from Andrew Gwynn from BNP Paribas.
Andrew Gwynn: Hopefully, I am unmuted, in my case. Just on North America, and obviously, again excluded from guidance, but included within the EBITDA guidance. So I suppose you don't understand that. But more generally, I suppose just thinking about Plan C. So would Plan C be more about radically downsizing the North American business to focus on profitable markets? Or is that still not part of the thinking?
Jitse Groen: You now have me second guessing on Plan A and Plan B are in your mind. Let me elaborate. Look, for us, it's important not to burn any cash. That business is improving. So that is good news. But we really don't want to burn any cash down. We have a commitment that we bring the cash burn to 0 as soon as we can. It doesn't mean that the business won't improve. It just is not the focus of our business. So it will be wait for us to guide on GTV and then miss the cash flow target. That's not going to happen. So this is why we don't include it. In terms of plans, Plan C, look, I mean if there were no restrictions in this growth, we will probably invest a lot more in North America, but we need to be realistic. We can't in this situation. And we are where we are. I wouldn't call that Plan C.
Operator: We'll take our next question from Monique Pollard from Citi.
Monique Pollard: My question is just on the Northern European profitability. So in the second half of the year, the Northern European EBITDA margin came down to 4.5%, 5% in the first half. I'm imagining a lot of that is to do with what JÃ¶rg was talking about in terms of expanding the delivery coverage. But just wanted to understand if that's correct because that's the reason why the margin has come down there. And how we should expect the margin to progress into 2024, given there's going to be further expansion of the own delivery network?
Jitse Groen: That's not entirely correct. It's a good question. If you look at -- first, let me take a step back. Our GTV margin between '22 and '23 improved from 4.2% to 4.8%. I believe that's the highest margin on the planet in our sector. So I think we should [indiscernible] it's not going well. They can go quite well over there. That segment still was 2% orders compared to '22 is, of course, a profitable business. So if you lose 2% of orders, you are going to lose some profit as a result of that. On top of it, indeed, we made tremendous investments in our logistics network. That is not the same as expanding, for instance, in the U.K. because, obviously, given the regulation in Europe, we need to build hubs, we need to put e-bikes in place, and we start with 0 orders. So it takes a bit of time for us to make sure that the CPO in those places goes to an acceptable level. These are investments that we believe are sensible. We're the only ones in most of these countries with such an extensive network. Don't forget that. We are the only way in many cities to order with a delivery restaurant. Therefore, we think that we need to make those investments and we've done so in the past as well. I know you're focusing on this, but we've also said that we believe that 5% is not the end station of Northern Europe. We believe that, that margin will go up.
Operator: We'll take now the next question from Chris Johnen from HSBC.
Christopher Johnen: On M&A, putting aside Grubhub, how likely is it that JET will participate in M&A this year? And then a small housekeeping question, what would the head office cost look like excluding Grubhub, any sort of color you can give on that?
Jitse Groen: So head office costs, my CFO is saying the same.
Brent Wissink: Yes, it's more or less the same. We've always; kept Grubhub as a separate subsidiary of our company. So most of that quarter costs are owned debt that we report are only applicable for everything, excluding Grubhub. We are sharing some of the posts, which may see coming back next year. But so far, it was quite a stand-alone subsidiary.
Jitse Groen: And regarding your first question, of course, hard for us to predict. There's ongoing conversations around Grubhub, but there have been ongoing conversations for quite some time with different partners as well. Sometimes they take a long time, sometimes partners come back. So it's very hard for us to predict. If we could predict that sort of thing, and of course, we will be more vocal about it. But I don't want to promise something that is not going to happen. So the question side of growth, I think it was on.
Christopher Johnen: Yes, outside would be -- I mean I understand this in Grubhub side. But aside from that, I mean, is there any appetite to do something? I mean -- yes.
Jitse Groen: Okay. That's a good question. So if you look at our business, obviously, we are tremendously powerful in most European countries. It would not be logical for us to be selling any assets in Europe. That's not the most logical thing. Obviously, we have businesses that are not as profitable as Holland or Switzerland or Germany or one of these assets. So yes, we're always open for discussion around that also because, of course, the investment horizon has changed quite drastically in the last 1.5 years as well for our business, but our business is worldwide. So we're always open to any discussion there.
Operator: We'll take now our next question from Lisa Yang from GS.
Lisa Yang: Follow-up question on the outlook for 2024. Just wondering I think others were still down a little bit in Northern Europe and U.K. given, I think, the utility you have on cohort behavior, when do you think sort of all the [indiscernible] there? And how do you see basically the development of all the growth versus AOV growth, especially in the U.K., Northern Europe, it's obviously, AOV growth has been a significant driver of the GTV growth in this year, so any color would be helpful.
Jitse Groen: Do you want to take that, JÃ¶rg?
Jorg Gerbig: No, I think, I mean, we guided on GTV and that's the predominant guidance we have, obviously, you have some inflation or you had some inflation in the last year, but that's coming down. Obviously, you see across the market inflation coming down. So the discrepancy between order growth and GTV growth is getting smaller, and that's most likely to continue also throughout this year.
Operator: We'll take now our next question from Giles Thorne from Jefferies.
Giles Thorne: I just wanted to come back to Slide 8, and get a sense of where a subscription program fits within your latest thinking on brand loyalty and value proposition. On the previous slide, you're talking of 2 to 3 orders per week is, I guess, a long-term target for frequency. And I mean there's a lot of voices in the industry that say, only a subscription program could get you there in any type of reasonable timeline. You've been against the idea previously. So just an update on your latest thinking?
Jitse Groen: No, we wouldn't have against subscription. We have subscription, of course, in the U.S., we have a subscription program in Canada. We're a couple of months away, Giles.
Giles Thorne: Okay. I would expect you to say that. And I should have said, you've been against the subscription program in Europe. I see the other one's elsewhere. And look, since you -- go ahead.
Jitse Groen: Giles, not even against that in Europe. But obviously, in many places, we don't have delivery fee. So yes, you will be giving something away that we already give to our customers because there is no delivery fee. So then the value of that the subscription program is 0, right? How much are you going to be charge for something that people get for free already?
Operator: We'll take now the next question from Marcus Diebel from JP.
Marcus Diebel: Maybe a question for JÃ¶rg. It's also on the guidance. But on the EBITDA guidance, I mean, we talked in the past several times about new improvements at the gross margin. We talked about pooling. How shall we think specifically on marketing, not only because we have obviously the major events, yes, as you highlighted this year, but also in terms of competition, I mean, what is your view, particularly in Germany, is it the same old? Or do you step up your marketing line that would be quite interesting to understand.
Jorg Gerbig: I mean, generally speaking, we usually differentiate between brand marketing and performance marketing. And on the brand marketing side, we usually are at quite high levels. I mean, you saw the top-of-mind brand awareness across the different countries and in most of our -- especially European markets, we are the best-known brand and the brand with the highest preference. And so we'll continue to invest at similar levels on the brand marketing side, we've just prolonged obviously, the UEFA contract, which is another testimony of continuing to spend quite some money on the brand marketing side. And likewise, on the performance marketing side, we're usually going quite aggressive there. You have a direct impact on orders. And we have a preference to be on top of Google Adwords, for example, that's driving these sort of orders. So we feel quite comfortable with the level of brand marketing spend we currently have, and we'll continue to invest heavily on these across the markets. You've seen us, for example, investing a lot of money in the U.K. and even stepping up because we can actually make use of the savings we get, for example, from the operations in the U.K. and reinvest that into the market to drive growth further. So selectively in certain markets like the U.K. will even consider going more aggressive. But overall, in most markets, we already have a very decent amount of spending.
Marcus Diebel: Okay. Just -- so basically, it will be the same absolute amount that you think will be sufficient. There's no basically the development in Germany in terms of wall and competition. And we obviously talked about it in the past that triggers for you to spend more at this time.
Jorg Gerbig: Yes. I mean it will be similar amounts. I mean I can never exclude because obviously, we will have some also like some tactical flexibility throughout the year. But broadly speaking, I think it will be at similar levels.
Jitse Groen: I think also, I mean, look, competition in most of our countries in Europe, you could drive a whole series of bus stations through the gap. So in the U.K., there's still -- we're also quite a lot larger than the other players. But I mean, that's not even comparable to most of the European markets in which were much and much bigger. So this is also a bit -- if you look at, for instance, adoption and brand awareness, if you look at all these figures, we're light years ahead, not a little bit. And the reason that we sponsor things like generously is because we want to be more than a quarter because we're essentially quarter, just like other food delivery businesses, our quarter. So brand preference is incredibly important to us. and we've invested heavily in that. You see that in the U.K. because you live there, but we do the same thing in Germany and other places, just that the gap between us and the competition is so much larger outside of the U.K.
Operator: We'll take now the next question from Miriam Adisa from Morgan Stanley.
Miriam Adisa: Just one on the employment model in Europe. I guess, in France, you're now switching to contractors. And just wondering, given the delay to the European-wide legislation, do you have any plans to change the model in any other markets? I think previously, you'd said that Italy would have been a market that would have benefited a lot from regulation. So is that one that you could be considering?
Jitse Groen: Well, unfortunately, a little bit more complicated than that. So first off, we deal with national laws and not with European laws, certainly not with European laws that don't exist. If there were to be something introduced from the European side, it would make the national law stricter in some countries. It doesn't have any platform work directed would have no effect in Germany because the laws already are strict. The platform world directive would have no effect in Spain because the laws already are strict. So the most prominent effect of platform directive in Europe would have been in countries such as Italy, in which it's not legal to operate in the way that our competitors are operating. But it is hard for the government to do something about it because you need to go through 7 years of courts. And therefore, the platform work directive would have helped in those places. It does not mean, unfortunately, for us that we can start breaking the law ourselves because it's still breaking the law and the law will catch up with you at some point. We can pretend that it's fine not paying taxes or social security for many years. But in the end, you will have to pay them. And that's great that you're the only ones left in the country. If it's not the only ones left in the country, it's sort of a problem. And we're getting to that situation in a couple of countries now. Our assessment is that the situation in Europe. We have it on slide, which slide is this? Slide 21. We don't think that this situation will change anytime soon across the globe. So we don't think that the U.K. will move to employees. We don't think that Germany will move to free loans or that Italy or Spain will move to free loans. We think actually, this situation will continue. What you see happening, of course, is different from what is legally permissible. You see the ports catching up with all the court cases. And that's what you see in the media and the more surround it. But legislation-wise, this is just how it is. And we're not going to break any laws. So even if other people do something that's illegal, we're not going to do it.
Operator: We'll take now our next question from William Woods from Bernstein.
William Woods: I just wanted to touch on take rates, particularly in the U.K., Southern Europe and North America. We've seen some compression half-on-half and a bit year-on-year. some of that in North America is probably driven by Grubhub subscriptions, but advertising is obviously going up. But what's the main driver between the take rate compression do you think?
Jitse Groen: In some places, I would say, mix affecting other places, I would say, the delivery versus marketplace and dynamic pricing. So I know that sounds a bit vague, but that's what you see in that number.
William Woods: And so what's the mix effect? And why does delivery make the take rate go down?
Jitse Groen: Delivery makes the take rates go down because you are very dependent on chains. And this is mostly North America, I think.
Operator: We'll take now our next question from Marc Hesselink from ING.
Marc Hesselink: And the step-up in profitability for '24 to reach our EUR 450 million EBITDA. Can you maybe talk about the building box, so you have the further increased efficiency in your delivery model? You have the operational leverage on your growth in your core business and you have the cost-cutting predominantly in the U.S. Can you maybe rank that or talk about which is going to be the most important ones and also the level of certainty on those levels?
Jitse Groen: Yes, that's a good question. Well, overall, we keep on -- we try to continuously improve our business and our operations. So that's certainly an important driver. The U.K. will be an important driver of profitability this year. And in the U.S., cost-cutting sounds a bit -- we try to improve the business while reducing the cost. I think that's the better description of what we try to do. Now there's also a couple of places where we do believe that we still need to do some reorganizing, but that's not the larger business because we've made a couple of adjustments right after the pandemic because in some places, our company was a smaller or the growth wasn't there. So we've made those adjustments. But you'll see more improvements of CPO because there going to be some artificial intelligence helping our customer service, for instance, that should help our CPO drop as well. So it's a couple of these things coming. And of course, we are used to being a growth business. So obviously, we just discussed, for instance, that if you have less orders in the profitable market that you have less profit. Well, it's also the other way around. If you have more orders in a profitable market, you're going to create more profit. So actually, this is why it's so important that our use to profitable markets are growing because there's profitable growth, and it's we're going to reach quite a lot to our success.
Operator: We'll take now the next question from Wim Gille from ABN AMRO.
Wim Gille: Apologies for circling back to North America. You already asked quite -- are asked quite a few questions on that. But overall, if I look at the business, you keep losing customers even in the first quarter based on second-measure data, you shredded another 20% of your customer base. So as you cannot shrink into greatness, I'm a little bit struggling to see the strategy here.  So if you reached that cash flow breakeven situation, what are you going to do? Are you just going to milk this asset? Or are you going to invest again in this asset to basically make it a more attractive target again? And also in the discussions that you have with various parties as the discussions are ongoing for 2 years now. How does -- let's say, these discussions change over the last couple of quarters as the business is basically shrinking? Does it become even more difficult to sell the asset? And what is Plan B to fail to sell the asset?
Jitse Groen: There's a lot of questions. So first, our target now is to get Grubhub is to not burn cash. That's our predominant target in the business. And don't forget, Grubhub is fairly handicapped business, right? There's a EUR 100 million difference in profitability. So we will actually be generating USD 100 million if the peak would not be there. There's still quite a good possibility that the feedbacks go. Regarding the discussions, how did they change? Well, they went from being live to them not being there when the financial situation changed to now we're getting more interest again. And this is, of course, due to the discrepancy, it's hard to imagine from Europe, given where the European e-commerce businesses are trading. But actually, the market in U.S. is more favorable now. So we're getting more incoming requests for Grubhub. So I would say it's picking up again actually now. I don't want to talk about Plan C. Look, we're good operators, this business will remain to be a good business at least from a scale perspective, but also from a profitability perspective. We know what to do to generate profits in food delivery that's pretty obvious in our business, I hope. So we can always run it like that, but that's not our preference. We like to run very profitable growing assets. I'm actually glad that most of the business is that again, but that's not the case here.
Operator: We'll take the next question from Michael Roeg from Degroof Petercam.
Michael Roeg: Now that your adjusted net profit is positive and you expect to make further progress in profitability in 2024, will you be considering a dividend payment over '24 to be paid out in '25?
Jitse Groen: That's -- look, I'm not a big fan of dividend. I'm a big fan of buying back shares, but I don't want to -- it all depends on where you are with your free cash flow generation, let's say, after the current buyback because we're still buying back shares, right? After the current buyback around this is done. So ask me again when that happens.
Michael Roeg: Okay. Well, both measures are, of course, to remunerate shareholders, but the benefit of a dividend is that it can open up new shareholders that currently are restricted because you want to pay a dividend. So just a suggestion.
Operator: We'll take now the next question from Bradley Hughes from Shore Capital.
Bradley Hughes: Just hanging on to what you said earlier about being comfortable deploying additional marketing in the U.K. this year. Could you just sort of perhaps give us some color on how order growth in this segment is looking year-to-date? And sort of mindful of some competitors stepped up price investment in Q4 last year, so any color on that would be great.
Jitse Groen: Do you want to take that?
Andrew Kenny: Yes. I mean, I think we obviously get questions on the -- understandably on the sort of competitive dynamics in the U.K. every single quarter for a very long time. It is a competitive geography. And from time to time, the promotional intensity increases, but fundamentally, we have a very large business in a very large market. And we have been able to reinvest some of the savings that we've been making, the significant savings across 2023. I think that's played out well in terms of our market position overall. And so we will also continue to invest in pricing. The pricing gets more intelligent and more targeted. So our ability to generate higher sort of returns from that pricing investment have also improved. But we certainly intend to spend at an elevated level like we did in 2023 and into 2024 again.
Operator: We'll take now the next question from Sean Kealy from Panmure Gordon.
Sean Kealy: I'd like to ask about the advertising proposition, in particular. How can we expect margin growth to evolve in that looking forward? And is there any clarity you can give us on the geographic distribution of the revenues at the moment?
Andrew Kenny: Yes. Look, I mean, we're obviously pleased with the progress that we've made in this area. It's worth saying that it's been a significant part of our business for many years. It gets talked about obviously a lot now as new opportunities are emerging. And it's an area that we've kind of invested both in terms of the sort of commercial and technical expertise, let's say, fit within the business, as I mentioned a bit earlier. The extension outside of our advertising products -- our current advertising of products is also dependent on the acceleration that we're making into new verticals. So the more grocery that you have on the platform, the more opportunities that you also have, obviously, to work with FMCGs and third-party advertisers as well. So we're setting up that area quite nicely as it grows alongside the new verticals. But if there's a chronology to have get set up. And obviously, you need that base of penetration in the vertical. So we're at 1.1% of GTV now. I think we would describe it as a nice scenario of the business, and we expect that number to grow over the coming years, but it's not per se a number that we're guiding on.
Sean Kealy: Okay. And if it's so closely related to grocery, I see you've got grocery in the U.K. to mid-single digits now. How should we think about the sort of year-on-year growth rate in that going forward?
Andrew Porteous: Yes. Look, I mean, it's come far quite quickly, and we're very pleased with the progress that we've made. We've 8,000 partners on the platform in the U.K. as I mentioned on the call, what was so important that we had a diverse and large offering that we could really take through the line in our -- through our marketing channels to really push. The absolute penetration at a customer level remains pretty low, and that's the opportunity in the U.K. and in other markets going forward now. So of course, it's helpful from a new customer perspective, but penetrating our very, very large existing base of U.K. customers is really the opportunity. So it's difficult to say exactly what level it will get to and what time frame, but we expect it to continue to grow at a steady cliff.
Operator: We will take now the last question from Andrew Ross from Barclays.
Andrew Ross: Mine's is on Canada, it's interesting that you've excluded kind of all of North America from GTV guidance, which makes sense on the U.S., given there's a process one in and given focusing on cash. But can you just update us as to why you've excluded Canada? And then give us a sense in terms of what's happening in Canada in terms of growth, market share profitability? And how we should think about that as a part of the portfolio over time, wanting to get to an answer on the U.S.?
Jitse Groen: Yes, I understand the question, but it's part of the same segment. So we don't really have a choice in terms of guidance because we would have to spit everything out. Canada is a profitable business. It's a competitive market, but it's a large position in Canada. We're generally quite satisfied about the business. But yes, we can't make that split because otherwise, we would confuse everybody with a split North America number. And I think we should keep our communication as crisp as you possibly can.
Operator: We currently have no further questions, so I will hand you back to, Jitse to conclude today's conference. Thank you.
Jitse Groen: I would like to thank everybody for attending this call. And should you have any additional questions, you can contact Investor Relations, and I would like to see everybody next time, we'll see you next week within the U.S.
Operator: Thank you for your interest in today's call. You may now disconnect.